Mattias Perjos: Thank you very much. Welcome to today’s conference, everyone. With me, I have our CFO, Lars Sandström, who will present the financials a little bit later. So we can move directly to page number 2, please. I wanted to show this before we get into the figures and fact in the quarter, and this is an opportunity, I think, to reflect on COVID-19 and what I’ve seen in terms of dedication, cooperation and fighting spirits among the clinicians in hospitals and our people in Getinge throughout this crisis. It’s been an exceptional cooperation. So I want to send a big thank you to all of you for the great work done so far. This battle is far from over and we promise to continue to do everything we can to contribute in the continuing fight against this pandemic as well. I also want to highlight that besides an intense cooperation with hospitals all over the world, we also have had a good dialogue with governments and governmental bodies in all regions across the globe. The same goes also for companies from other industries. We’ve had more than 200 companies reach out to us in the last couple of months here, offering support in the task to ramp up production capacity to meet the rapidly and significant increased demand of advanced ICU ventilators. So I want to send a thank you to all of them as well, and we are looking forward to continuing to cooperate with you throughout this pandemic. So with that, we can move over to page number 3, please. So if you look at some of the key takeaways for the first quarter of 2020, we’ve had exceptional order growth in Q1. The intense COVID-19 pandemic created a huge demand for advanced ventilators and also ECMO therapy. Our world-leading positions in both these areas have contributed to an increase in orders of 47% organically with a very high pace at the end of the quarter. The increased order volume at the end of the quarter was only to very limited level converted into net sales. But despite this, we grew our sales by 3.8% organically and 8.7% in actual numbers. On the margin front, we can see that margins continued to improve mainly due to increased sales in Acute Care Therapies, increased productivity and also positive currency effects, which we’ll come back to a little bit later. We’ve also had a good quarter in terms of cash flow, where free cash flow increased to SEK 988 million in the quarter, thanks to higher earnings and continued good progress on working capital efficiency. The result of this is that our leverage continues to creep down. So we are at 2.4 at the end of the quarter compared to 3.41 year ago. Move over to page number 4, please. We get a lot of questions on the impacts of COVID-19 on our business. So let’s take a closer look at what it has meant for us in the first quarter in the different parts of the business. If we start with the demand side, orders have increased at an exceptional pace at the end of the quarter within both critical care and cardiopulmonary. And more specifically, in these two areas, it’s really about advanced ICU ventilators and ECMO therapy in two categories where we are the number one in the world. At the same time, we’ve seen a negative development in products related to elective surgery and also large parts of our portfolio for operating rooms and infection control in hospitals and some parts of the business in Life Science as well. So I’ll come back and dig a little bit deeper into this on the next slide. When it comes to supply and logistics, we early on identified the bottleneck linked to supply components in order to being able to ramp up production of advanced ventilators. I have to say, though, that this has been handled in a very professional way by the team. And therefore, we are confident on ramping up the capacity to the 160% increase that we have announced. That’s a significant increase. I’m also very happy with the – not having any material negative effect from interruptions in the supply chain despite the fact that we have suppliers from all over the world. This truly shows the strength in partnering and working close to suppliers with a high level of transparency, and this continues on a daily basis for the rest of the year. The same goes for production. We were very quick out of the blocks. We’re using a very disciplined process and also fit-for-purpose protocols in order to mitigate risk of infection in our different factories. And the result is that we’ve had no material interruptions during the first quarter. Quite contrary actually, we’ve seen that our teams have been very energized and also using the opportunity here to bring out the best in every one of us in the company and the companies that we’re partnering with. So this is why we decided to ramp up production of our ventilators by 160% this year. One should also remember here that it’s a totally different thing to produce an advanced ICU ventilator compared to the subacute ventilators mentioned in most of the ramp-up articles that you’ve been able to read globally during the recent weeks. And one should also remember that there’s a reason why so many customers see the value in our ventilators. They’re simply the best when it comes to treating the most difficult cases, thanks to a high level of automation, user friendliness and then the ability to monitor the patient and put a really precised therapy into action. So it’s being really customized to that specific patient, something that early research indicated is really crucial when treating a COVID-19. At the same time, in our business, we have areas where we see a temporary delay, delay of orders. We’re confident the orders will come in this area as well, but they will be pushed back a few months. So this means that after the end of the quarter, we’ve decided to initiate some furloughs in parts of business is related to Surgical Workflows, where we had seen a decline towards the end of the quarter. Finally, from a financial perspective, we see improved margins due to mix. The Acute Care Therapy products come with a margin that is higher than the average in the Getinge group. We also see strong cash flows, simply as earnings are higher, and we at the same and continue to have really good control of working capital. Here, I want to remind everybody that about the simple rule that high growth normally leads to higher working capital as well. We will work actively to continue the positive trend that we have on working capital. The ramp-up of production as well will require some significant purchases of components that this will be visible in the second quarter. This is also why we have strengthened our cash position significantly. At the end of the quarter, we had approximately SEK 2 billion in cash. Last week as well, we issued a green commercial paper amounting to SEK 1 billion at a very favorable cost. The book building process was very, very quick, and this will be used for ramping up both in critical care and in cardiopulmonary. We can then move over to page number 5, please. Here is a picture that allows us to dig a little bit deeper into the two trends that we see in terms of order intake and also, I’ll talk a little bit about what to expect going forward. When it comes to our advanced ICU ventilators and ECMO devices and related consumables, we are the global leaders with double-digit growth in these categories already prior to COVID-19. Right now, we see an extremely high demand for advanced ICU ventilators. A large proportion of the global volume increase taking place at the moment is within mid and some acuity ventilator as well. So not the highly advanced ICU ventilators, which is what we focus on and that so many customers want and need in this difficult situation. We see a significant increase in demand on ECMO devices as well, and I’m very pleased that we’ve decided to invest and grow this business over the coming five years. So we’re embarking on a rather significant investment program to increase production capacity and also develop new products for the long term. On the lower part of this slide, we see Surgical Workflows and Infection Control, where these are categories where we are number one or two in the world depending on market segment and region. Our customers in Surgical Workplaces, is where we offer products for operating rooms there in more of a low activity mode at the moment, which basically means that orders are delayed. This is expected to continue for probably three to six months according to customers and independent experts this week. As a consequence, we have initiated furloughs in parts of this business. And when things start to get back to normal, there will be a production lead time from order to delivery, usually a little bit less than a quarter for this business to ramp back up. In Infection Control, we see the same pattern as in Surgical Workflows, but with less of a decline in activity. We still do expect lower order intake for a while in this part of the business as well and have initiated some temporary layoffs here also. When we see order intake starting to grow again, we have between one and two quarters in lead time, depending on the product and the scale of the product. So all in all, these two divergent trends, make it quite difficult to give a precise outlook on how much we expect to grow net sales for 2020, even if the balance here is positive. Let’s move to page number 6, please. As a consequence of this uncertainty that we have because of the COVID-19 pandemic, we’ve chosen not to provide a forecast of how much net sales is expected to increase for full year 2020. We will come back if there’s any news here, but I don’t expect that we will change this during 2020. We can then move over to page number 7, please. So if you look at some of the other key takeaways from the quarter. Operational leverage starts to come through the P&L, thanks to increased volumes in combination with positive impact from restructuring activities that we implemented in 2019 and we see good productivity gains in production and our supply chain as well. Our critical care product category and the production facility in Solna also received the EU MDR certification in the quarter. So this process then continues in our other sites and product categories with good progress. We’ve also taken a decision to ramp up production capacity, as I mentioned earlier, related to ECMO, and this will be done over a couple of years. So ECMO is a product category we’re getting, it is the market leader and where we saw strong demand already before COVID-19, it has been significantly reinforced as a result of the pandemic. It’s also worth mentioning that we launched a couple of promising products in the quarter. One is Torin a complete operating room management software, which was launched globally in February. Torin health surgical departments with their surgery planning and to continuously improve the productivity of the resources in and across the different collaborating departments inside the hospital and Torin is currently being implemented in two pilot sites, in France and in Japan. Those are some of the key other takeaways that we wanted to highlight this quarter. We can move over to page number 8, please. So we spend a moment on order intake here. As I mentioned in the highlights, we’ve had a growth of 47.2% organically and 53.1% in actual numbers. The strong order intake growth is clearly linked to Acute Care Therapies in both critical care and in cardiopulmonary with the products for the treatment of patients diagnosed with COVID-19. I want to remind everybody again though that also before COVID-19, these were our two growth engines in Acute Care Therapies. Life Science and Surgical Workflows' order intake decreased organically and then an increasing rate towards the end of the quarter, and this is the result of lower activity in affected part of the hospitals and also parts of the Life Science operations. Also worth mentioning though, even though without the strong order intake related to ventilators, the order intake growth was above market rates in the quarter. When it comes to net sales, we had 3.8% organic growth and 8.7% in actual numbers. The organic growth that occurred in the quarter is mainly attributable to deliveries within acute cares to customers in Asia Pacific and EMEA. And this is, of course, partly linked to the spread of COVID-19. But I underline, again, that only a very limited part of the increased order volume in the quarter was actually converted into sales. So most of that is ahead of us. Net sales in Life Science and in Surgical Workflows were negatively affected by lower activity due to the COVID-19 pandemic, as you can see here as well. That’s the order intake overview. We can move over to page number 9, please. So if you look at the order intake per business area, the 47.2% organic and a 53.1% increase in actuals meant that we had a total order intake of SEK 9.452 billion in the quarter. As you can see in the breakdown here, SEK 3.5 billion of that is from Acute Care Therapies where we had 96.4% organic growth. Critical care, cardiopulmonary in Asia Pacific and EMEA were the main contributors to this. If you look at the other product categories here, we did not have the same strong growth as last year. For those of you with good memories, we had 8.2% growth for the business area in Q1 of 2019. So a tough comp already there. If we move to Life Science, we had minus 13.1% organic, but plus SEK 8 million in actuals. And this organically reduced order intake is mainly attributable to delays of new products. And there was, in general, good activity related to pharma production, but much slower in the land segment. So that’s the dynamic inside Life Science. This was partly offset by very healthy growth in these infectors and consumer If you then look at Surgical Workflows, we had minus 14% organic growth or minus SEK 245 million in actuals. So the organic order increased – decreased in relation to the good growth that we had in Q1 of 2019, which was 6.4% at the time. And we saw an increasing rate of decline towards the end of the quarter, which is due to the lower activity in those parts of the health care system that are not directly linked to the treatment of patients with COVID-19. This was particularly evident in Surgical Workplaces. A small positive sign towards the end of the quarter was that the orders received in Asia Pacific increased compared to the previous year. We can move over to page number 10, please. So we move one step down and look at net sales. Here, we have for the quarter, this increased organically by 3.8% and in actuals by 8.7% to SEK 6.33 billion. Here, we had a currency impact that was positive of SEK 204 million, and the rate of growth in capital goods was higher than compared to consumables, service and spare parts. By business area, Acute Care Therapies had 7.8% organic growth of SEK 396 million in actuals. We had intensive work to quickly deliver ventilators and ECMO products to hospitals. That contributed to an increase in the sales at the very end of the quarter despite that the other product areas did not reach last year’s strong growth. But again, most of the sales growth is ahead of us from where we are now. Disruptions due to COVID-19 have not had a negative impact on production and logistics during the quarter. There’s been a lot of daily manual intervention in the supply chain, but we’ve been able to keep it going, and we expect that to continue to be the case. When it comes to Life Science, we had 1% organic growth or SEK 96 million in actual numbers. We had good organic growth in the sterile transfers and sterilizers and consumables product areas. This was also the case in the last month of the quarter. We had lower net sales related to washers and service. And again, this is a result of the impact of COVID-19. In Surgical Workflows, we had minus 3.2% organic growth or minus SEK 7 million in actuals. The net sales follow the same patterns as orders received in Surgical Workflows with reduced activity towards the end of the quarter as a result of the COVID-19 pandemic. This development was most evident in Surgical Workplaces and in the Americas region. We can move to page number 11, please. If we look at the gross margin development during the first quarter, we had adjusted gross profit increasing by SEK 393 million to SEK 3.218 billion in the quarter, again driven mainly by Acute Care Therapies and support from currency, which in this case was SEK 189 million. The gross margin for the group continues to strengthen, mainly due to the sales mix with the increase in Acute Care Therapies and a healthy product mix overall, together with increased productivity and positive currency effect. So with that, I leave over to you, Lars, and we can move to page number 13.
Lars Sandström: Thank you, Mattias. Starting with adjusted EBITDA, it has increased by SEK 292 million in the quarter, and currency effects had an impact of SEK 139 million on the EBITDA increase and supported EBITDA margin by 2 percentage points. Adjusted gross profit impact on the margin amounted to 1% at this point due to reasons Mattias just mentioned. And our efforts to stabilize our adjusted OpEx is starting to have an impact year-on-year on the margin. And this quarter, the impact was 1 percentage point. And all in all, this resulted in an adjusted EBITDA of SEK 661 million compared to SEK 369 million in Q1 2019. And margin increased from 6.7% to 11% year-on-year. With that, over to page 14, please. Let’s take a look at BA contribution to adjusted EBITDA. And starting with Acute Care Therapies, it increased its adjusted EBITDA by SEK 302 million and the margin improved by 6.2% units, mainly due to increased sales volume and positive currency effects as well as some productivity measures coming through. In Life Sciences, adjusted EBITDA increased by SEK 2 million while the margin decreased by 1.1 percentage units, and this is mainly attributable to higher overheads compared to the last period – the same period last year as a result of acquired operations and currency effect. And in Surgical Workflows, adjusted EBITDA decreased by SEK 8 million and the margin decreased by 0.5% units, mainly due to lower sales volume compared to Q1 2019, which was partly offset by positive currency impact. The increase in adjusted EBITDA was positively impacted by SEK 139 million in currency effects in the quarter, whereof SEK 81 million is related to realized hedge losses in Q1 2019. For the full year 2019, realized hedge results amounted to minus SEK 25 million with losses in the first half and some gains in the second half of 2019. Let’s go over to page 15, please. This is to give you an update on the tax situation. Last year, for the full year 2019, we had a reported tax of 34.2%. And as you might remember, this was impacted by the new U.S. tax regulation with more, let’s say, fixed taxes on internal payment flows. And if we look at the reported effective tax rate now in Q1 2020, it reached SEK 35.1 million and this is related to seasonality in the – and the U.S. tax regulation. And here, the impact related to this U.S. part is some 3 to 4 percentage points. And when we look at the full year and the underlying level here, we expect that during the year to come towards 30% to 32%, depending on the country mix here during the year. I’d also like to highlight, if you look at 2019, the paid tax is considerably lower than the reported tax, and this is due to unutilized and utilized tax loss carryforwards. And when you come into this year and going forward, we expect to continue to utilize this tax loss carryforwards. Let’s move to page 16, please. Free cash flow developed positively, mainly due to the increased earnings and continued good control of working capital, which continues to decrease in terms of number of days. We are now at around 110 days, down 19 days from the peak in Q2 2018. And as far as leverage is significantly improved to 2.4, which can be compared to 3.4 at the end of Q1 2019. And also if excluding payments and liabilities, the leverage was at 1.7. Let’s move to page 17. Looking at net debt, this was impacted by currency and the finalization of the acquisition in Life Science in the quarter. Despite this, we have improved from SEK 14 billion in Q1 2019 to SEK 12.7 billion in Q1 2020. The cash position increased and amounted to SEK 2 billion at the end of the quarter and then we have, as you have heard, also done further activities after Q1 with raising SEK 1 billion in the commercial paper market. And this follows conscious decisions to ensure that we have a solid situation in these times. And on top of this, we have committed used and unutilized credit facilities amounting to more than SEK 7 billion. Let’s move to page 19, and over to you, Mattias.
Mattias Perjos: All right. Thank you very much, Lars. We can, as Lars said, and jump all the way to page number 19, and we’ll do a short summary here. So we’ve seen exceptional growth in order intake in the quarter, driven by critical care and in cardiopulmonary. We expect this to continue for a big part of 2020. We also can see improving margins, and the COVID-19 effect on actual sales and margins is rather low in the quarter. Most of that is ahead of us based on the strong order intake that we’ve had. The improved margins is more from productivity gains from partly from mix and also, of course, from currency. We have strong cash flows and a very solid cash position as well, as Lars just highlighted. And we look forward now to continue to work just as intensely and dedicated together with the hospitals and clinicians over the world to continue the fight against COVID-19. So with that, I open up for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Annette Lykke from Handelsbanken. Please go ahead your line is open.
Annette Lykke: Thank you so much. First of all, just some clarification on the margins and the impact from FX. If we look at it as a group of whole Getinge and gross margin FX effect, you will say that is SEK 190 million or SEK 89 million. And that corresponds around, I would say, 300 basis points. Is it true that the gross margin impact is then mainly coming – or all coming from FX? And as such, product mix does not have an effect on gross margin, I understand it has as on adjusted EBITDA? My other question is, I understand you are suspending outlook in these times. But on page 8 in your Q1 report, you are highlighting mainly the negative as the reason for why you’re suspending the COVID-19 or suspending your outlook. During your presentation, you are saying that you do see the net effect balance to be positive from increased demand within ACT and then a decline in the other two divisions. Could you please provide a little bit more color on that, saying, do you see this as a net positive – or net positive opportunity for you? I understand the situation is very fluid, but a bit more precise comment would really be nice. And then my final question would be on the orders you have right now within ventilators and ECMO systems. Are these only acute orders? Or how do you see the aftermath of COVID-19? Do you see government or hospitals in general preparing or updating their ICU capacity in aftermath of COVID-19?
Mattias Perjos: Okay. I’ll start with the question two and three and then move on to Lars for the first one. So if we start with the guidance bit, it’s clearly net positive for us the way things look right now. The reason for withdrawing the guidance is just that it’s a very big span between the best case and the worst case in this regard. But we do believe that this is a net positive impact for the group, and then it certainly looks that way at the moment. I think the one thing maybe to highlight is it’s, of course, the risk goes up a little bit as well when we’re so dependent on two business or some of the business areas, which is cardiopulmonary and critical care. But as long as the supply chains keep together here, it’s no question that this will be net positive for the group. But to what extent we can’t say, and therefore, we wanted to withdraw the guidance. When it comes to the order intake in critical care and cardiopulmonary, specifically within ventilators and ECMO therapy, we did have strong growth already before COVID-19. Part of the related demand that we see now in these categories continue to be maybe non-COVID related as well. But for sure, the capacity that we have to serve now, the market goes to, especially for ventilators to COVID-19 patients. When it comes to the aftermath, it’s a little bit early to talk about that. I think it’s – you’ve seen many, many initiatives from building new ventilators and so on, but these are not ventilators that compete with us, these are subacute ventilators, emergency ventilators and so on. It’s very unlikely that any of these players will stay around after this pandemic for regulatory reasons. So we think that effect is likely to be very small. Other than that, I think it’s a little bit too early to say the aftermath there. I think one thing that we’re working actively with hospitals now is to start for planning for the return of elective surgeries because we could see a lot of struggles when it came to actually managing the outbreak of the COVID-19. And now we can see that there is a backlog of elective surgeries being built up as well because this demand doesn’t go away. And it’s important that we don’t end up with a shortage of other products once we’re through the peak of the COVID-19 pandemic. I’ll leave it to Lars to discuss the FX margin question there.
Lars Sandström: Yes. If you look at our gross profit margin, yes, we are impacted by currency, but taking that out, we have a one percentage point improvement coming through. And yes, we get some help from leverage, of course, to some – when it comes to critical care and cardiopulmonary. We also have some lower activity in the SW side where we get some under-absorption. But we can see that the activities we have been working or during 2019 we have continued during 2020, and we see those activities continue to deliver when it comes to improving our margin, both in the supply chain so that we see there is clear and also an underlying improvement coming through.
Operator: Our next question comes from the line of Ed Ridley from Redburn. Please go ahead. Your line is open.
Ed Ridley: First of all, congratulations on for bearing to meet this crisis and the plans you already put in place. I also had a follow-up on sort of through aftermath is for ventilator demand. And there’s probably a lot of debate around this. Clearly, I think there are some questions that sort of maybe oversupplied after the crisis now that seems odd to me. In my mind, that a potential need for a permanent increase in ICU capacity and preparation. So that will be – my first question will be, what are your thoughts on that? And if you’ve had any initial conversations with open hospitals on sort of staying on the current plan for the ventilation. And secondly, in the U.S., and you mentioned the capital orders were slightly weaker in the Americas and other regions. And this is what we’re hearing from all your large pragmatic players. What do you think is particularly driving the weaker, a more rapid decline in demand in – particularly in North America in March relative to Europe which had the virus earlier.
Mattias Perjos: All right. Thank you. Yes. If we start from the beginning there, if I were to just go back and look at the discussions we’re having with hospitals, like we certainly don’t feel that any – we haven’t heard that any hospital will be oversupplied with ventilators. Today, it’s quite the opposite. I think as well that if you look a little bit beyond the current crisis and the peak as well I think there is a realization. We’ve had a lot of political contacts as well with many governments in different parts of the world the last month or two here. And it’s quite clear that there is an understanding that there would need to be a rebuilding of ICU capacity in many parts of the world. Many countries have slimmed down way too much to be able to handle these kinds of peak. I think there’s a lesson for everybody there. So I think that will support demand also past the peak here as well. Then that’s, I think, an important pattern that we will see. When it comes to the U.S. capital decrease, it’s – the conclusion so far for us is that it is related to resources being entirely focused on fighting COVID-19. So a lot of investments in more infrastructure type of products, capital goods have just been postponed due to bandwidth reason. We don’t think the demand is gone, but it’s certainly delayed. That’s as far as we can see today.
Operator: Our next question comes from the line of Michael Jungling from Morgan Stanley. Please go ahead. Your line is open.
Michael Jungling: I have a few questions, please. Firstly, when it comes to the acute care order book, how should we be thinking about the recognition of the orders for the coming quarters? In particular, I would like to know if possible, very similar to what Philips did, is give us an indication for the number of units you intend – the number of ventilator units you intend to deliver by quarter and what the average price so is for those ventilators? Then secondly, on the quality of the order book for ventilators, have you taken the typical deposits so that there is some sort of cost if someone wishes to withdraw their orders going forward? And then I have a Surgical Workflow question number three. Do you expect this division to show a decline in organic sales growth this year?
Mattias Perjos: Yes. Thanks, Michael. When it comes to the acute care therapy order book, it is quite full in many parts of that business, as you understand. We’ve decided not to disclose the number of ventilators by month or quarters and not the average price either. In general, we can say that the peak for deliveries that we can see now is in Q2 and Q3. And also, like we said in the report, we expect the heightened demand to continue into 2021 also. We do get down payments for a large part of the orders that we take. So we’re mindful of that as well. And we’re also mindful about how we manage the risk for cancellations. That’s been high on the radar because we’re making a significant commitment here in purchase of components for billing dispensaries. And so far, the dialogue here is very good with customers in this regard. So we’re not particularly worried about this. When it comes to Surgical Workflows, we don’t give guidance on individual business areas. But if you look at the overall dynamics, it’s of course, a very slow second quarter for Surgical Workflow that we have ahead of us now. We do see some positive signals from some parts of the market that there is planning for elective surgeries to come back. And I think the next step after that is that there is the discussions about investments in more infrastructure type of products and so on also picks up. So – but it’s too early to say how long this lower level of demand will be in place. But we don’t expect a big change in the second quarter. So – but for the full year, it is impossible to give any realistic guidance on this.
Michael Jungling: May I also please ask a follow-up question on Surgical Workflow. I recognize you didn’t give guidance for margins, but for Surgical Workflow, is there scope for the margins to be positive this year? I mean, increasing over last year, base, if sales are flattish or in slight decline, do your cost savings measures and your restructuring in Surgical Workflow, is there a reasonable potential that you actually could see margins improve year-on-year?
Mattias Perjos: It’s a nice work, like we have a reasonable potential. I think a lot of the measures that we’ve put into place in 2019 by Stefan and his team in Surgical Workflows will have a positive impact in 2020 as well. So under the assumption that it is last year, yes, I think there’s a reasonable chance that margins will improve as well.
Michael Jungling: Okay. And then one final question, please. You mentioned in the press release just before that you thought that the demand for ventilators will continue into 2021. Are you referring to that the order growth momentum can continue into 2021? Or are you referring to the sales momentum continuing into 2021?
Mattias Perjos: Well, in this case, both. The sales momentum is obviously lagging by a quarter or so, so that will last a little bit longer. But we do think that we need to first work through this peak, which is going to be through the second and third quarters and then there is – there will be parts of the market that have been undersupplied post the peak, and there will be a need for rebuilding some ICU capacity in many parts of the world as well. So that’s the basis for the assumption that the demand will continue on the basis in 2021 also.
Michael Jungling: And does that mean – so early 2021, are you suggesting that order book growth could continue to grow into the early parts of 2021? I just want to understand the statement a little bit around demand continuing versus demand continuing to grow into 2021.
Mattias Perjos: Yes. Okay. While demand continuing to – demand continue to grow was referring to the growth compared to before the pandemic that will have a heightened level of demand bid into 2021 as well. I think if you look at the peak in order intake momentum, that’s likely to be the middle half of this year.
Operator: The next question comes from the line of Kristofer Liljeberg from Carnegie. Please go ahead. Your line is open.
Kristofer Liljeberg: A few questions. First of all, could you explain how the rest of the ACT business is doing, i.e., not the ventilators and at/or another – other ICU products, but the rest of the ACT?
Mattias Perjos: Yes, I think we’ve seen a slowdown in that part of the business. We don’t disclose specific figures for some category, but there’s been a weaker demand for the rest of Acute Care Therapies. So we’ve seen that towards the end of the quarter, a little bit similar to Surgical Workflows and Life Science. We do think that, that part of the business always is likely to have a shorter comeback compared to the more infrastructure type of products that we see in Surgical Workflows, for example.
Kristofer Liljeberg: Okay. But do you see that declining in the second quarter?
Mattias Perjos: Well, we don’t give guidance on that forward looking. The overall dynamic though indicates that it’s going to be definitely softer in the second quarter, but I can’t give you any numbers on that. We saw a weakening towards the end of the first quarter, and that’s likely to continue for at least part of the second quarter.
Kristofer Liljeberg: And then talking about weakness in the latter part of the first quarter, we saw Surgical Workflows down about almost 15%. Does that to reflect what happened in the last few weeks in the quarter? Or do you also have cancellations or customers calling you back saying, okay, the orders replaced in January, February, can we postpone them? Was there such a situation as well?
Mattias Perjos: No, we’ve not seen any cancellations. And then the decline has mostly been related to the month of March in the quarter.
Kristofer Liljeberg: Okay. So looking at orders for Surgical Workflows in the second quarter, should we assume a similar drop then as you had in March for the entire second quarter, i.e., a much more dramatic decline than 15% in the second quarter?
Mattias Perjos: I can’t give – it’s too early to give you any kind of guidance on that. We don’t disclose forecast for the business areas going by quarter ahead.
Kristofer Liljeberg: Okay. Two more questions. On the operating – operational leverage, for Surgical Workflow – for ACT, for example, would you expect that you will be able to continue operating costs flat in the quarter or in the year? Or do you have higher cost because of selling more?
Mattias Perjos: No. We don’t have any particular higher selling costs here. I mean, to be honest, the increase in critical care and cardiopulmonary doesn’t require a lot of active selling actually. So there’s not much related to that. The only – we stand by the guidance otherwise, but we will have lower OpEx in relation to net sales. But in absolute terms, we prefer not to give any forecast. But there’s no dramatic changes, I would say, in terms of OpEx. You had – I don’t think you should assume any big swings either way.
Kristofer Liljeberg: Okay. And final question, you talked now about ramping up ECMO production capacity, which I think is a great opportunity. Is it possible to say anything about timing and how much and this also, of course, relates to the status with FDA consent decree?
Mattias Perjos: Yes. We’ve been hampered – I think we’ve had a bandwidth challenge in it because of being consent decree with FDA. It’s been a little bit difficult to ramp up capacity in cardiopulmonary and specifically related to ECMO. We are seeing the end of remediation payer and that allows us to free up a little bit of resources to work with productivity gains, and we’ve decided to make some investments here the quarter starting now and over the next couple of years. And these are investments of several hundred million SEK for additional machinery, for debottlenecking and so on to make sure that we can increase the capacity of oxygenators quite significantly. And you will see that the increase partly this year, but mostly for 2021 and 2022 and then the years beyond that.
Kristofer Liljeberg: And is it possible to say how much you expect to increase capacity this year and next year?
Mattias Perjos: No. I think this was a business that grew double-digit already before COVID-19, and it’s been accelerated now. And we do see as well that if you clear the COVID-19 affect, this was already a therapy that was gaining a lot of momentum. So we do expect to sustain the solid double-digit growth for the coming years. That’s, I think, the only guidance we can give.
Operator: The next question comes from the line of Sten Gustafsson from Nordea. Please go ahead. Your line is open.
Sten Gustafsson: A few questions with regards to the ventilators. Could you give us – or if I look at the production capacity you have this year of 26,000, how much of that has already been booked in your order book in Q1? I’m trying to understand the underlying growth rate in the ACT business. And also, I know you talked a little bit about it earlier, but if you could give us any help on how you plan to ship those – the phasing of the shipments over the coming quarters, that would be helpful.
Mattias Perjos: Yes, okay. Out of the 26,000 that we wish, we still had a lot of capacity left at the end of the quarter that wasn’t booked with firm orders. We do expect, though, now within April or May, that clearly is going to be completely booked for the full year. In terms of the phasing of deliveries, it’s really a peak now in the second and third quarters that we have visibility on, whether that’s – how much of that it stretches into Q4, Q1, Q2 of next year is difficult to say, but we can clearly see now that everything for the second and third quarter is completely sold out. And we’re trying to have a dialogue with customers about accepting deliveries in the fourth quarter and early into next year as well.
Sten Gustafsson: Okay. So on the first question there, is it fair to assume that about half, 13,000 were booked in Q1 and the other 13,000 will be booked in Q2. Is that a reasonable assumption?
Mattias Perjos: Well, it probably a little bit more than half in – if you look at the very end of the quarter, but it’s not too far off.
Operator: The next question comes from the line of Scott Bardo from Berenberg. Please go ahead. Your line is open. I believe he did not want to ask a question. So instead, we will go Johan Unnerus from Pareto Securities. Please go ahead.
Johan Unnerus: Mainly a follow-up. First on delivery on ventilators mainly then you already clarified that you expect the visibility – you have visibility in the peak Q2, Q3 now and that you were sort of ceiling of your capacity and that you will push out some, ask customer then to accept later deliveries for some if – and especially if order continues, that’s how I read it. If this level of activity order intake will continue, can you increase capacity a bit more? Is that possible?
Mattias Perjos: Yes, it is. I think it will depend on some of the critical suppliers for components, but we are, of course, looking at ways of expanding beyond the 26,000 as well. And just at the moment, we can’t comfortably say that we can open up the order book for this. But it’s certainly a lot of active work going into this, both seeing how much we can get from our existing suppliers, but also look at it, there’s alternative suppliers that we can get some of the critical parts from.
Johan Unnerus: And presumably, you will communicate when that’s in place so you can increase the capacity?
Mattias Perjos: Yes, correct. Yes, we will do the same thing as we’ve done with the first two steps here once we feel comfortable with that, we could communicate those.
Johan Unnerus: And also at this sort of stretch but manageable level of delivery, is that sustainable if we would see not massive year-on-year growth, of course, but a continuing elevated level of delivery in activity into 2021, can you still run at well above normal capacity into 2021 as well?
Mattias Perjos: Yes, yes, we can. I think if you look at the past capacity with about 10,000 here, we can run significantly above that even with one shift actually, and then the two shifts that we have in place now, we can continue if needed as well. And we have the option to ramp up to three shifts as well. It’s a little bit more involved when it comes to trading the operators and so on, but it’s certainly doable. So roughly, we have a lot of flexibility with both scaling up, but also scaling down should the demand weakens quicker than we think.
Johan Unnerus: That’s helpful. And what about Surgical Workflow, the end of Q1 was clearly very soft and you seem to expect that softness carry on during Q2. That’s the level of visibility you got, I guess. And also, you’ve taken some actions already. But what about sort of more deeper action or structural action or mitigations. Surgical Workflow is already not running at the – well, where you wanted it to be even before the COVID situation.
Mattias Perjos: Yes. And I think a lot of actions were taken already during 2019. If you remember, a lot of the restructuring costs that we had in – during last year were related to Surgical Workflows. A lot of those initiatives are already implemented, and we’re seeing the positive benefit from this. We have announced as well the closure of the Ankara plant and the move back to Boston in Poland. So that’s underway also. And the other improvement programs in Surgical Workflows, they are generally moving on at the speed that they we’re planned to have. There’s, of course, some restrictions when it comes to travels and knowledge transfer and stuff like that. But most of them are continuing as planned, and we expect them to have the effect that was planned as well.
Johan Unnerus: Okay. So no reason to make any further action at this stage?
Mattias Perjos: Not unless – not in addition to what we have already had in our plans. The reductions we talked about in the report, these our are furloughs. So temporary layoffs just because we are – we’ve worked through a lot of the order book in some of our factories. So we certainly expect there not to be any permanent layoffs with regard to this. On the contrary, we hope that this will come back and will continue where we left off before COVID-19.
Operator: Your final question comes from the line of Scott Bardo from Berenberg. Please go ahead.
Scott Bardo: Can you hear me, okay?
Mattias Perjos: Yes.
Scott Bardo: That’s perfect. Sorry for the technical problem before. A few questions, please. And congratulations again to the response to the crisis. Just following on from Kristofer’s question about the portfolio in ACT outside of ventilation and ECMO. Can you just talk through the various different businesses. Whether you’re expecting them all to be negative or whether there’s some of it more defensive. Of course, you have an aortic aneurysm, you have intra-aortic balloon pumps which are classically deemed non-elective, but others like vascular grafts and so forth and cardiac centers what have you. So I just wonder if you could just highlight, is there any differences between those buckets for us? The second question, please. A lot of discussion about your current capacity constraints for ECMO. I’m pleasing to say that you’re looking to address that. What I’d like to understand is, have you seen any notable change in mix for ECMO between your HLA systems and your PLA systems, therefore, can you see significant revenue growth in this business without significant volume expansion. Maybe if you could talk a little bit to that, please? And last question, please. I think ahead of this crisis, you were guiding for 2% to 4% group revenue growth and highlighting an expectation of some margin expansion for the full year albeit more notably coming in 2021. Now of course, things have changed quite a bit, but it sounds like you’re expecting better revenue growth than this. So my question is, is there a genuine opportunity to have more meaningful margin strides for the group level this year than perhaps you would have envisaged only a few months ago?
Mattias Perjos: Okay. Thanks, Scott. When it comes to ACT outside of critical care and cardiopulmonary, it is a little bit different. If you look at the cardiac assist is a part of the ACT, which is the balloon pumps, we have less of a decline there compared to the cardiac surgery category and compared to vascular systems, which are more clearly linked to elective surgery. So there’s a little bit of difference in dynamic care there. When it comes to ECMO, we – I can’t at least recall seeing any major shift between the HLS and PLS patterns here. HLS is more in demand already before COVID-19, and I don’t expect that to have change or that it will change because of this as well. When it comes to the margin expansion, yes you’re right, we do expect it to – the way things are trending at the moment to be above the guidance that we’ve given earlier, but very difficult to give a number. But the dynamic, I think, when it comes to margin expansion remains the same as before COVID-19 that if we have a higher growth of top line it has a positive impact on margins as well. So if it stays this way, it’s likely that we will have a stronger margin expansion and quicker margin expansion as well.
Scott Bardo: That’s helpful. A couple of quick others, please. Obviously, a lot of demand on your Hechingen facility and on your Solna facility currently. Hechingen still under consent decree. Can you comment as to the flexibility that you’ve been afforded from the U.S. regulator to meet demand? Has there been any change in the perception of your remediation efforts, and perhaps if you can talk a little bit about that. And lastly, you’re already seeing some quite significant deleverage for the group as of the first quarter in spite of the Applikon acquisition? And if what you said is true and margin maybe expands a little bit faster. But we thought the business should be in a relatively strong balance sheet position by year-end. So the question is, in a sense, is the financial performance of the company that you envisage over the next 12 months or so increasing your appetite to do more meaningful M&A?
Mattias Perjos: Yes, thanks. When it comes to the first question, the consent decree in Hechingen, I think I would only say that we’ve had a very constructive dialogue with the FDA during the COVID-19 pandemic. So we’ve extended the use, for example, in the U.S. beyond six hours for ECMO as emergency use. In addition to this, there’s been a good constructive dialogue about how to prioritize remediation. But we – both us and if they would like to get this done and complete, so we’re trying to make sure that we prioritize the short-term patient needs now in the coming months and quarters but without making any significant delays to the remediation program. We need to see this through as well. So that’s a bit of a balanced act, but I think it’s done in a good way and in a good dialogue with FDA at the moment. When it comes to leverage, yes, that’s a correct observation that with good underlying cash generation in the business, we don’t forecast what the leverage will be towards the end of the year, but it should continue to creep down. When it comes to the relation to making M&A, we never really felt that balance sheet constrained since we have a very committed principal shareholder who has been happy to guarantee rights issues in the past and will do so for the right strategic acquisition as well. So when it comes to M&A, it certainly has changed the dynamic of the landscape a little bit here. So there is some activity with companies who have ended up in a more difficult position because of this that may be interesting to have a closer look at and so on. But – and then of course, a lower level of leverage helps in this regard, but it was never a limiting factor from that perspective. So we continue to be active also in this regard.
Scott Bardo: Very good. And real quick, the mesh litigation ongoing. Has that trial been delayed in this environment? Perhaps just a very brief update there, please.
Mattias Perjos: Yes, there’s been a delay here as well. So we don’t expect there to be any news than other than possibly towards the end of this quarter about what would happen next, but there has been some delays.
Operator: And that was the final question of the presentation. So I hand back to the speakers for any closing remarks.
Mattias Perjos: Thank you very much. Thanks, everyone, for attending today. I think we’ve already made the summary before going into the Q&A. So I just wish to thank you for joining the call and wish you a good rest of the day. Thank you very much.